Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the Pennsylvania Real Estate Investment Trust second quarter 2010 earnings conference call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions). This conference is being recorded today Tuesday, August 3, 2010. I would now like to turn the conference over to Garth Russell, with KCFA Strategic Communications. Please go ahead, sir.
Garth Russell: Thank you, Douglas. Before turning the call over to management for their prepared remarks, I would like to state that this conference call will contain certain forward-looking statements within the meaning of Federal Securities Laws. Forward-looking statements relate to expectations, beliefs, projections, future plans, strategies, anticipated events, trends and other matters that are not historical facts. These forward-looking statements reflect PREIT's current views about future events and are subject to risks, uncertainties, and changes, and circumstances that might cause future events, achievements or results to differ materially from those expressed or implied by these forward-looking statements. PREIT's business might be affected by uncertainties affecting real estate businesses generally, as well as specific factors discussed in PREIT's press releases, documents PREIT has filed with the Securities and Exchange Commission, and in particular PREIT's annual report on Form 10-K for the year ended December 31, 2009. PREIT does not intend to update or revise any forward-looking statements to reflect new information, future events or otherwise. It’s now my pleasure in turning the call over to Ron Rubin, Chairman and CEO of PREIT. Ron, the floor is yours.
Ron Rubin: Thank you very much Garth. Welcome to the Pennsylvania Real Estate Investment Trust second quarter 2010 conference call. Joining me on the call today are Ed Glickman, President, Bob McCadden, our CFO and Joe Coradino, President of our Management Company and Head of the Retail Operations. Also in the room today are Vice Chairman George Rubin and General Counsel Bruce Goldman. Today, we will discuss our second quarter results, the status of our current projects and our expectations for the balance of 2010. After we conclude our remarks, the call will be open for your questions. We are pleased with the progress that the company has made on the liquidity and capital fronts. Our successful equity offering during the quarter allowed us to repay borrowings under our credit facility satisfying a required pay down well in advance of the target date. Doing so has improved our balance sheet but we have more work to do. We now have greater financial flexibility to take advantage of opportunities should they arise. On the operating front, we continue to see signs of recovery as evidenced by an up tick in tenant sales, by an increase in the number of new transactions under negotiations and by the expected improvements in our occupancy between now and year end. Our emphasis continues to be on renewals and new leasing opportunities throughout our portfolio. With the mostly quiet and uncertain acquisition environment, our management team has focused on strengthening our financial position, improving our operational performance and investing in our properties. In doing so, we are working to place and keep tenants in business, to improve occupancy and maximize NOI as part of our strategy to create long term value for our shareholders. And with that, I’ll turn the call over to Ed Glickman.
Ed Glickman: Good afternoon and thank you for joining us on this second quarter call. During this quarter we have achieved a level of stability in our finances in operations which we hope is indicative of the future direction of our business. This quarter we are seeing some positive signs in our operations, demand for space is improving. We are now at 90% occupancy and we have successfully renewed all of our 2010 anchor expirations. The productivity of our space is improving as well with comp sales up 2.1% to $344 per foot. Releasing spreads have all come through from last quarter with new leases a positive spread at 7.6%, while renewal rents are still declining, the rate of decline has improved from last quarter its minus 6.9% to a current level of minus 1.5%. As a result of increased productivity and lower tenant costs, our total cost of mall occupancy has declined by 50 basis points up to 13.1%. These metrics indicate to us that the portfolio is stabilized. We are still however, living in a buyer’s market foot space, resellers that have taken new space and those that have renewed existing store leases have been faced with a challenging consumer environment. Our response has been to carefully assess each of our tenant’s positions, and we have worked closely with many strategic tenants to share with by negotiating leases with shorter terms and lower fixed costs. As a result, while our activity level is up, our same store NOI is down by 3.5%. We expect price on our same store NOIs to continue through the balance for 2010, as we experience the full year impact of 2009 lease concessions, and as more of our long-term leases expire and are renewed or replaced at current economic terms. As the market stabilizes, we expect that occupancy in total will recover and we will shift into positive growth. By keeping our renewals short we hope to have an early opportunity to participate in the results of recovery. In the long-term we’re optimistic about the prospects for our portfolios. We believe that our assets are well positioned in their markets. We are continually looking at new uses for our space and as you will hear from Joe Coradino we have made progress in redefining a number of our assets. On the right hand side of the balance sheet we continue to make significant progress. In May we completed a successful 10.3 million share offering that marked the return of many institutional investors to our stock. Applying the proceeds from new offerings to repay debt at the end of the second quarter we have reduced our line of credit balance to zero. We have also paid down our term loan by more than $100 million, plus meeting the facilities three year target for balance reduction in the first three months of its term. This year we have also completed the refinancing of Lehigh Valley Mall, Valley View Mall in our Springfield strip center. Since we are in a leverage reduction mode and we have liquidity, our strategy in truck refinancings which is a bias for terms and rates versus the (inaudible) our proceeds. In the fourth quarter, we expect to finish the refinancing of Springfield Mall completing our capital plan for 2010. In summary, as we close the second quarter we have more liquidity and we are facing less risks, both operational and financial than anytime in the past three years. Looking forward we intend to continue to lower our leverage by increasing and conserving operating cash flow and harvesting assets when appropriate. Rob McCadden will now give you more details on our financial performance.
Rob McCadden: Thank you Ed. Net loss attributable to PREIT in the second quarter was at $22.7 million or $0.45 per diluted share. FFO was $19.7 million compared to $37.8 million in the prior period. This excludes the $2.3 million write off in deferred financing costs in 2007 and the $80.5 million gain from the repurchase of our exchangeable notes in 2009. FFO as adjusted for the second quarter was $21.9 million compared to last year’s $29.3 million. Key factors impacting our operating results include the following, in addition to the deferred financing costs that were written off, interest expense increased by $3.2 million as a result of higher spread with short term floating rate bad debt and lower amount of the capitalized interest. In June 2009 we replaced $198 million of project costs (inaudible) and thus capitalizing interest from certain development projects. We sold two centers, Northeast Tower Center and Crest Plaza in the second half of 2009 that generated $1.1 billion of NOI at last year’s quarter. In the second quarter of last year, we also recorded a $700,000 gain on the sale of restaurants and outparcels at one of our malls that was included in FFO. We also experienced a $2.5 million decrease in same store NOI. The same store results were unfavorably impacted by several factors. First, lease termination revenue were lower by approximately $300,000. Second, last year’s quarter included approximately $600,000 of loan market lease intangibles that were recognized as revenue when several tenant leases were terminated prior to their scheduled expiration dates. Excluding these few items same store NOI was down by 2.3%. Finally, same store account expenses increased by $1.3 million for the quarter and real estate taxes increased by $800,000. As the increase in CAM expenses were related to the opening of the interim Market Street property in the third quarter of last year and higher utility expense in the cost of the portfolio. The increase in real estate taxes due to higher assessments as rate increased at a number of our properties. When possible, we are aggressively pursuing the Property Tax Appeal. Expensive coverage continues to be impacted by a shift to short term percentage of sales or growth rates. Our overall deposit rate for CAM factored in utilities fell to 81.2% in the second quarter of 2010 from 81.5% in the first quarter of this quarter and 88.1% in the second quarter of last year. Interest expense increased over last year’s quarter despite lower average outstanding debt balances. In the second quarter of 2010 our weighted average debt balance was $2.6 million or $223 million lower to the average for the second quarter 2009. Excluding amortization and financing costs our average interest rate increased by 73 basis points over last year to 5.49% as of June 30, 2010. The increase in rate is due to higher spreads in our evolving credit and term loans and the replacement of short term (inaudible) loans with the 10-year fixed rate mortgage. The average interest rate on all of our fixed rate mortgage debt was 5.78% comparable to last year’s rate. At the end of the quarter, 92.3% of our outstanding debt was bad. Our debt balance at the end of June was $306 million lower than the than the figure reached in September of 2009. Turning to 2010 guidance we are reaffirming our estimate FFO per diluted share of $1.77 to $1.87 and our estimated net loss attributable to PREIT to range from a loss of $1.34 to $1.44. As a reminder, our FFO guidance does not include the effect of any future acquisitions, dispositions given the sale of non-operating assets leading to significant changes in our capital structure. With that, I’ll turn the call over to Joe Coradino.
Joe Coradino: Thanks Bob. The first half of 2010 still gradual although slow recovery for our portfolio as evidenced by positive trends in our occupancy, sales, store closings and retailer expansion. We’ve also enhanced our operating platforms for our general managers leasing program, the addition of alternative use, the expansion of Black Rose Antique and the evaluation of ancillary revenue sources such as solar panels at our New Jersey property cell phone towers and one mall advertising. We have seen comp sales increase by 2.1% over the same period last and 3% since the end of last year to $344 a square foot. We have seen 60% fewer store closings through June than we had by this time last year and significantly fewer bankruptcies as well as an increase in retailer open device. Strip and power centers occupancy now stands at 96.1%, a 450 basis point improvement driven by the opening of 5 Hhgregg locations representing a 153,000 square feet. And a 40,000 square foot actually furniture. Three of the five Hhgregg stores filled vacancies created by the Circuit City bankruptcy. One bank filled the former Linens n Things and the fifth store filled the long standing vacancy. Total portfolio occupancy driven by the increase in strip and power center occupancy, and the opening of several anchor stores the Plymouth Meeting, the Gallery and Wiregrass increased by 120 basis points to 90%. Enclosed mall occupancy ended the quarter at 89% total 83.6% inline. When temporary tenants are included, total more occupancy increases to 90.3% and inline more occupancy at 86%. Our occupancy rates have been driven by our operational initiative. General Manager’s leasing program delivered 20 leases for 61,000 square feet. We have signed 149,000 square feet of leases for alternative uses, including healthcare, office, educational and municipal uses, and a distribution of additional Black Rose Antique center. This award winning concept is an antique in collectable marketplace, operated by PRE, whereas multiple vendors sell their wares to the public. We currently operate two of these centers and plan to open two more by the year-end. Both of the existing operations are a 100% occupied. The completed redevelopments continue to drive comp scales, with five malls in our portfolio producing sales in excess of $400 per square foot. These same assets contribute 27.2% of the NOI of the company. The recently redeveloped Cherry Hill Mall with comp sales of $523 per square feet had a strong showing, with an increase of over 27% as compared to last years second quarter of $411 per square foot. We continue to improve the quality of merchandise with this asset, and have recently executed leases with Francesca’s Collection which is now open, Disney for one of their few new prototype stores, 77kids by American Eagle for one of their only seven stores in the initial roll out, and Marciano a guest concept. All of these stores will open this year. At Plymouth Meeting Mall we are pleased to announce that we executed a lease with Orbis to open a 6,500 square foot store in the new life style wing of the property. As the new tenants are added during the redevelopment of the comp, comp sales have increased nearly 10% at this property. At Voorhees Town Center we are pleased to announce that we have recently signed leases with Coffee Works and two signature restaurants, Firecreek Grill an upscale American fair concept, and Doghouse burgers. The most significant occurrence during the quarter was that we received approval for the relocation of Voorhees City Hall to 23,000 square feet in the second level of the enclosed mall. Voorhees Town Center the new downtown for this vibrant South Jersey community will be one of only a hand full of mixed use developments in the US would have incorporated a municipal building. We expect all of these additions to drive traffic in sales when they open in the spring of next year. We continue our momentum at Woodland mall in Grand Rapids, Michigan, where we opened Barnes & Noble in October of last year. And recently executed a lease with the North States was under construction for an opening expected in time for holiday shopping season. This is our first transaction with this premier retailer, who is showing Apple, Banana Republic, Williams-Sonoma and J. Crew with this premier property. We are encouraged by upbeat sentiment of our retail partners who are beginning to allocate capital to store expansion, an indicator of the continued recovery of the retail sector. As the economy strengthens, and demand for space improves we expect to enhance our focus on improving our gross margin. I’d now like to open it for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from the line of Quentin Velleley with Citi. Please go ahead.
Quentin Velleley: Just wanted to focus on the drop in the recovery rate which is down about 600 to 700 basis points again this quarter, can I just clarify was that drop in the recovery rate given that occupancy is roughly the same as last year, was that drop in the recovery rate solely from giving rent concessions and percentage rent deals throughout last year?
Rob McCadden: If you looked at the trend for the first quarter of last year through second quarter of this year you exactly follow what’s happening gradually. So as I mentioned in my remarks the follow up was marked quite modestly compared to the first quarter. So it was more affected to our plan for the year we expected a much slower recovery rate.
Quentin Velleley: So the guidance for the rest of this year you’ve got a similar sort of rate of recovery that occurred this quarter, is that correct?
Rob McCadden: That’s correct.
Quentin Velleley: And so just thought of discussing on that, are you still doing short-term renewals in your leasing?
Rob McCadden: Yes, if we look at the transactions that were done in this quarter of that three quarters have been for less than five years.
Quentin Velleley: And what was that in the previous period? Just wondering what the rate of doing short-term leases was in previous periods, if it was like orders in this period, was that rate higher in previous periods?
Ron Rubin: Yeah, it’s about the same.
Quentin Velleley: Okay. So maybe if I just, I know you did a lot of leasing in the strip and the power center portfolio. Do you look at that as part of the company and you made the lever, are you sort of giving your increased occupancy and you've got a subsequent increase in NOI from those assets, are you sort of thinking more seriously about potentially selling those assets?
Ron Rubin: We've already considered asset sales joint ventures and other kinds of property as part of overall strategy.
Operator: Our next question comes from the line of Nathan Isbee with Stifel Nicolaus. Please go ahead.
Nathan Isbee: Just going back to the short term lease topic, is this your decision as the sales have gradually increased, there's been some signs that retailers have been more willing to sign longer term leases. So is this their decision or your decision at this point?
Ron Rubin: It’s a decision on our part to really, new short term leases, keep our properties occupied in anticipation that we are going to try rent some rollovers.
Nathan Isbee: Okay, and how about on the percentage rents? Are you seeing any improvements there? Were you actually changing commitments?
Ron Rubin: We started to see towards the end of the quarter so many successes due to increases in the number of tenants that were paying a percentage of sales and the market during that period is flat but whether or not that's pulling on the volumes its too early to tell but the rate of increase is certainly swelling.
Nathan Isbee: Okay and in Moorestown Mall, can you just remind me there’s been a pretty significant occupancy pickup that sales continued to move down double digits?
Ron Rubin: The occupancy is the main part of this transaction and if you've been to the property, sales are trending down in Moorestown and Cherry Hill is a powerful asset that has an impact on, it’s about four miles away. And we do have a strategy in place to really differentiate that asset in the relative near term.
Nathan Isbee: And just one last question looking at your explorations for ’11 you have 18 anchors that are expiring. Have you had some preliminary discussions with them and what would your sense to any of those at risks for closure?
Ron Rubin: We had that preliminary discussions and when we have the relative degree of comp percentage we’ll be okay with those.
Operator: Thank you. Our next question will come from the line of Michael Mueller with JPMorgan. Please go ahead sir. ‘
Michael Mueller: Few questions. First of all, is there any change to the same store outlook?
Rob McCadden: I think we’re still holding through that 1% or 2% down for the year, full year.
Michael Mueller: Okay. Down 1% to 2% for the year, great. Can you run over some of the terms? I mean, how familiar we look at the, I guess the municipal lease coming in? I think you termed the antique market place, next to that, and some of these non-traditional retail leases are they similar in duration, escalators etcetera to the traditional leases or are they dramatically different?
Rob McCadden: Well, first of all, the municipal deal is condo sale. So that’s a different type of transaction evaluation model. In terms of valuing it is similar to the approach we took only but it is a condo sale.
Michael Mueller: Okay. What about the marketplace? Is that essentially, you just take a bay in the mall and you have tables set up inside? Is that what it looks like?
Rob McCadden: Well its close, like essentially what we took is in the case of Shop Mall, a former vacant department store that had been occupied by Steve and Barry most recently. It's about 48,000 square feet and we essentially built it out with stalls if you will and rented it out to antique dealers, collectables, etc. and we operate the cash register. Certainly, that seems to be an obligation, is to provide merchandise. Those transactions have been fairly close to breakeven but the important thing from our perspective is again driving occupancy in the short term.
Michael Mueller: Got it, okay and just two other questions: One, looking at the redevelopment properties, it looks like there is a little bit of sequential occupancy declines in there, I mean how much of that is just looking to be a typical seasonality going from Q1 to Q2 with fall out versus maybe something else?
Rob McCadden: For the most recently opening property on Cherry Hill mall and Plymouth Meetings.
Michael Mueller: Yeah.
Rob McCadden: It’s largely commission and things that was vacant for a year, for the year in the international phase. So essentially all the space that we have in this property is now affecting service.
Michael Mueller: Okay.
Rob McCadden: We will start bringing in the second level of the expansion in Cherry Hill and those kinds of things are what's generally, we’re increasing the number of tenants at our redevelopment properties, not decreasing the number of tenants. So what you’re seeing is just additional square footage coming into service. But if you look at the recent additives taken into supplemental last quarter which actually shows the occupancy in square footage for each of those properties just to erect that concern. So if you were to take the first and second quarters you would feel these properties are actually being increased within the amount of square feet effectively.
Michael Mueller: Okay, and I guess last question going to the comments on asset sales joint ventures and I think you said harvesting assets went appropriate. I guess any sort of visibility or commentary you can give us as to potentially what might be in the works so are you closest on the joint venture, are you on closest on asset sales, is this stuff that could potentially happen this year? And I think the term used was asset sales went appropriately, under what circumstances wouldn’t they be appropriate, is it you are waiting for more lease ops or now is not the right time?
Ed Glickman: The circumstances under which they wouldn’t be appropriate are properties where we are still in the middle of a redevelopment or working on lease that is in progress and visible in the future, whether it’s strategic for some sort of leasing reason et cetera.
Michael Mueller: Okay.
Ed Glickman: There assets we have that are harvestable given the right combination of markets and placement.
Michael Mueller: Okay and any color on which path you are closer on? Is it your expectation that we could see some activity this year?
Ed Glickman: Unfortunately we can’t comment on that.
Operator: Our next question comes from the line of Ben Yang, with Keefe, Bruyette & Woods. Please go ahead.
Ben Yang: Going back to Nate’s question on the anchor explorations, it looks like you have four bon tons located at malls that do about mid $200 per square foot in sales. Can buy-time essentially walk away with no further obligations when these leases expire?
Ron Rubin: Typically the operating covenants have expired yes.
Ben Yang: And I know you are expressing confidence that on all your anchor releasing, but are you having any discussions with potential replacement anchors? Specifically at those Bon-Ton anchored malls that do the low sales numbers? And who might those potential replacements be?
Ron Rubin: First off, again well, they are not finalized. We do have a comfort level we are not in discussions with replacement tenants for those locations at this time, but we are in the market everyday and we are talking to tenants about lots of different opportunities.
Ben Yang: Okay and then switching gears the two refinancings that you recently completed on Lehigh Valley and Valley View, you got a good below 6% interest rate on both mortgages, yet you ended up having to inject some equity to effectively extend term? And I am guessing the lender was underwriting a lower LTV or higher debt yields for those loans. Can you first confirm that those properties could have supported maybe larger mortgages than you essentially took out?
Rob McCadden: That sort of an impossible question to answer, because we were looking that overall the company is interested in delevering. And so trying to quest for a mortgage frontier on individual properties when we know those marginal dollars are going to be very expensive, would be inconsistent with our overall strategy of delevering as well as trying to maintain the best set of terms we can, gear up the best financial flexibility and ultimately to keep the cost of the financing down. As I said in the month of March we weren’t out there looking for the last dollar, because we knew in this environment that that would have a whole bunch of implications. And luckily unlike last year we’re in a position where we have a significant amount of liquidity at the moment, and this seemed like a good place to use it. So, that’s where we are and I think that strategy and that vision of how we are going to handle future refinancing its going to stay in place. We are not looking for the last dollar we are looking to get the best rates; we are looking to get the most advantageous tenants. And you know consider that part of our overall deleveraging.
Operator: (Operator Instructions) And our next question come from the line of Cedrick Lachance with Green Street Advisors. Please go ahead.
Cedrick Lachance: Just looking at page 11 of your supplement you list a few different classifications for your assets, one of them is new properties and could you give me a sense what those new properties are?
Rob McCadden: A lot of the new property that we have is down Pitney Road Plaza which is the power center in Lancaster, Pennsylvania. That just might consist of that slide. As previously told we developed well over a year ago in the second half of 2009.
Cedrick Lachance: Okay, so you basically added to that slide?
Rob McCadden: Right.
Cedrick Lachance: Going back to balance sheet discussion you have essentially eluded to the fact that you may have fire power for external growth. Where does that rank to allocate capital incrementally to new projects, future acquisition versus trying to delever how do you think about it at this point?
Ron Rubin: Our real estate philosophy is very opportunistic. So we are out there in the market we are looking at opportunities but at that moment as we stated before we would be much more comfortable, close to the 15% than when we are today in the leverage. So our main focus is certainly not foreclosing our shop but our main focus is delivering and continuing to delever.
Cedrick Lachance: So as you think about delevering where does the additional equity assurance fit into the mix?
Ron Rubin: I think that's quite dependent on where the spot ultimately goes over time. At the moment, it doesn't rank very high.
Cedrick Lachance: Okay. I guess just returning to some of the questions regarding the lease terms and lease lengths. And so you are talking about three quarters your lease is less than five years in length, can you give us a sense of what the average lease maturity is there? Are we talking about two years on average or largely weighted to the one year type leases or are we talking about longer lease terms?
Ron Rubin: Are you talking about within the group of leases that are less than five year?
Cedrick Lachance: Yes.
Ron Rubin: Roughly half, less then three a quarter, less than a quarter three to five and then for the quarter on quarter same as five years.
Cedrick Lachance: Okay.
Ron Rubin: So it’s quite over kind of relative short term, (inaudible).
Cedrick Lachance: And you said versus the recent past it's about similar to what you have achieved. If you were to compare to three or four years ago what percentage of your leases were less than five years in length?
Rob McCadden: These are not necessarily new leases rather they are short-term you know. If you want to go back and look at the average range of portfolio, it hasn’t changed that dramatically. You we’re doing a lot of short-term leases as we brought the portfolio, the new section of our portfolio with the exception that the malls are closed something drastic element government. Yes, those tend to be 5, 10, 15 year leases. But the portfolio exposure in that (inaudible) was a couple of years ago. It certainly dropped down $0.10 or $0.02 of the percentage points in terms of average lease duration for the portfolio as a whole. So I think that proactively we only talk about the short-term leases, what I'm talking about are typically renewals as opposed to new leases for a much longer duration.
Cedrick Lachance: Okay. And, what percentage of those leases are percentage ramped at this point of those less than five years?
Rob McCadden: I don’t have that information available.
Operator: Thank you. And there are no further questions in queue at this time. I would like to turn the call back over to Mr. Rubin for closing remarks.
Ron Rubin: Thank you all for joining us this afternoon and for your continued interest in Pennsylvania Real Estate Investment Trust. We look forward to providing you with our update for third quarter results in November. Thank you again and have a good evening.
Operator: Ladies and gentlemen, this concludes our conference for today. We'd like to thank you for your participation and you may now disconnect.